Operator: Good day, everyone, and welcome to the CSC Fourth Quarter 2014 Earnings Conference Call. Today's call is being recorded. For opening remarks and introductions, I would like to turn the call over to Mr. George Price. Please go ahead, sir.
George Price: Great. Thank you, operator, and good afternoon, everyone. I'm pleased you've joined us for CSC's fourth quarter and fiscal year 2014 earnings call and webcast. Our speakers on today's call will be Mike Lawrie, our Chief Executive Officer; and Paul Saleh, our Chief Financial Officer. As usual, the call is being webcast at csc.com\investorrelations, and we have posted some slides to our website, which will accompany our discussion today. On Slide 2, you'll see that certain comments we make on the call will be forward-looking. These statements are subject to known and unknown risks and uncertainties, which could cause actual results to differ materially from those expressed on the call. A discussion of risks and uncertainties is included in our Form 10-K, Form 10-Q and other SEC filings. Slide 3 informs our participants that CSC's presentation includes certain non-GAAP financial measures, which we believe will provide useful information to our investors. In accordance with SEC rules, we have provided a reconciliation of these measures to their respective and most directly comparable GAAP measures. These reconciliations can be found in the tables included in today's earnings release, as well as in our supplemental slides. Those documents are available on the Investor Relations section of our website. Briefly, I'd like to highlight 2 things in particular. First, unless otherwise indicated, Mike's comments on margins and earnings will exclude a $21 million reversal of contingent consideration in the fourth quarter associated with the ServiceMesh acquisition. Please see the related reconciliations included in the earnings press release and the slide presentation. Second, also included in today's earnings press release are quarterly historical income statements for fiscal years 2012, 2013 and 2014 on a continuing operations basis, that is, which adjusts for the divestitures CSC has completed to date. Some of this information was disclosed in our 8-K filed on February 7, 2014, and we believe that full quarterly income statements on this basis provide additional useful information to our investors. Finally, I'd like to remind our listeners that CSC assumes no obligation to update the information presented on the call, except, of course, as required by law. And now I'd like to introduce CSC's CEO, Mike Lawrie.
John Michael Lawrie: All right. George, thank you. Welcome, everyone. Thanks, again, for your interest. As is my normal practice here, I've got several key messages that I will highlight and then go into a little more detail on each and then turn this over to Paul Saleh, and then we'll open it up to questions. The first key message here is, we continue to progress with our turnaround. We've delivered another quarter of margin expansion, a good earnings performance and solid free cash flow. So for fiscal '14, we reported EPS from continuing operations of $3.91. And as George says, this does not include -- this includes the reversal of liability associated with the ServiceMesh acquisition. So this $3.91 was slightly above our target range, again, driven primarily by cost takeout. Second message is, we continue to see some early positive signs of demand for our commercial offerings, and we delivered our second consecutive quarter of sequential revenue growth, which was up 5%. We did come in around $30 million shy of our target to grow commercial revenue year-over-year in constant currency in the fourth quarter as we continued to reposition our consulting business. And we also saw strong commercial bookings in the quarter. Another key message is, we continue to expand our partnerships with leading technology companies to leverage their R&D and deliver innovative next-generation offerings. And we're working closely with Amazon Web Services, Microsoft, VMware, HCL, AT&T and others to differentiate the company as a leader in hybrid cloud-related services and solutions. Our NPS business is performing in line with our expectations. We're seeing encouraging signs of growth in the pipeline, as well as stabilization in the government procurement environment. And NPS's book-to-bill of 1.0 in the quarter improved from 0.7 in the year ago period and 0.6 in our third quarter. Now as we enter our new fiscal year 2015, we're targeting modest growth in our commercial revenue, and we are targeting NPS revenue would be down in the single -- mid-single digits, which translates into total revenue for the company to be flat to slightly up. We're also targeting improved profitability, driven by operating leverage and our continued focus on cost efficiencies. So our EPS from continuing operations target for fiscal '15 is $4.35 to $4.55, representing a double-digit increase year-over-year with free cash flow of around $700 million. And the final message is we continue to return more capital to our shareholders in the form of dividends and share buybacks. In 2014, CSC returned about $623 million to shareholders or just over 100% of income from continuing operations. And today we announced that our Board of Directors has approved a new share repurchase authorization of $1.5 billion and increased the quarterly dividend 15% to $0.23. So let me just delve into a little more detail on each of those key messages. As I said, we had another good quarter here of margin expansion and earnings and cash flow. Our operating margin in the fourth quarter was 10.2%, which was up 40 basis points sequentially and 430 basis points year-over-year, and this was driven by our commercial business. Our Global Business Services margin of 16.3% increased 430 basis points sequentially and 590 basis points year-over-year. And this was driven by several factors, including our ongoing cost takeout, improved productivity in some of our low-cost delivery locations and higher license sales and volumes. Our Global Infrastructure margin of 5.0% expanded by 420 basis points year-over-year, but was down 210 basis points sequentially. And the GIS margin in the fourth quarter reflects higher investments in some of our new offerings, which we are taking to market, continued incremental contract restructuring and some upfront costs as we move workloads to our lower-cost delivery centers in other geographies. Our North American Public Sector business margin was 10.7%, which was down 110 basis points sequentially and 20 basis points year-over-year, as margins begin to normalize around the high single-digit to low double-digit range that we have discussed before. Now for the full year, operating margin for CSC was 10.0, which was up 380 basis points, and this was driven by margin expansion across all 3 of our segments: GBS margin of 12.4% increased 470 basis points; and the GIS margin of 7% expanded by 440 basis points; and NPS margin of 12.2% improved by 170 basis points. So our fourth quarter EBIT margin of 8.1% was up 440 basis points year-over-year, and our full year EBIT margin of 7.8% was up 360 basis points compared to fiscal '13. And for the quarter, EPS from continuing operations was $1.09; and for fiscal '14, EPS from continuing operations was $3.91, slightly above our prior target range of $3.80 to $3.90. And this compares to $3.09 a year ago, so it's up 27% year-over-year. Now when you include the reversal of the contingent consideration, our reported EPS for continuing operations was $4.01. And free cash flow in the fourth quarter was $288 million, and for the year, it was $689 million, which was $89 million higher than our previous target of $600 million, primarily due to better working capital management in our federal business. The second key point here is we do continue to see early positive signs of demand for our commercial offerings. Our commercial revenue was $2.4 billion in the quarter. It was up 5% sequentially and was up 4% sequentially when you exclude the ServiceMesh acquisition, and this is the second consecutive quarter of sequential revenue growth. Our Global Business Services revenue increased 6% sequentially. Global Infrastructure Services increased 3% sequentially, with commercial cyber up 4%; commercial cloud, up nearly 50%, again the latter driven by primarily the ServiceMesh acquisition. In the quarter, commercial revenue was down 1% in constant currency on a comparable year-over-year basis, falling somewhere around $30 million shy of our target of commercial growth exiting fiscal '14. GIS revenue was essentially flat year-over-year in constant currency and GBS revenue was down 3% year-over-year in constant currency. You dig underneath the surface a little bit in GBS, application revenue was up 4%, our IS&S revenue was flat and consulting revenue was down 16% in constant currency. So that's what drove the decline in GBS. And as we previously discussed, we're continuing to reposition our consulting business to pursue our next-generation technology consulting services. And these actions are and have had a near-term impact on the business, but we feel it's ultimately going to lead to much stronger growth and profitability in the consulting business. And when you adjust for this repositioning of the consulting business, our commercial revenue was basically flat to slightly up year-over-year in the quarter. Now again, if you dig under the surface a little bit here, our next-generation commercial offerings showed healthy year-over-year revenue growth in the quarter and for the year. So our commercial cyber was up 78% year-over-year at constant currency in the quarter and was up 111% for the year. Commercial cloud was up 108% year-over-year at constant currency in the quarter and was up 46% for the year. Another early sign of improvement within the commercial business in the quarter was commercial bookings of $3.3 billion, which improved by $1 billion year-over-year and $600 million sequentially. So our commercial book-to-bill was 1.4, which was an improvement both sequentially and year-over-year. The GBS bookings were $1.5 billion in the quarter for a book-to-bill of 1.3, in line with a year ago that was down sequentially on the heels of a very strong book-to-bill of 1.8 in the third quarter. And approximately 68% of the GBS wins, as measured by TCV, was for new work. The GIS bookings in the quarter were $1.8 billion for a book-to-bill of 1.5, and this is the highest book to bill we've had in the GIS business in the last 8 quarters. And approximately 70% of the GIS wins measured by TCV were renewals, where we achieved a win rate in excess of 90%. And our next-generation commercial offerings showed strong bookings, with the cyber book-to-bill of 1.5; a cloud book-to-bill of 4.3, again, some of that driven by ServiceMesh; and a big data book-to-bill of 1.1. And 58% of our next-generation commercial offering bookings in the quarter were for new work. So for the full year, our commercial bookings were $10.2 billion for a book-to-bill of 1.1, and this compared to 1.2 for fiscal '13. And the prior year results did include 2 large awards totaling approximately $2.9 billion. So adjusting for these awards, commercial bookings were up 27% year-over-year, and the GBS bookings in fiscal '14 were $6.1 billion, up 20% year-over-year after adjusting for these 2 large awards in the prior year for a book-to-bill of 1.4. And GIS bookings in fiscal '14 were $4.1 billion. They were up 40% year-over-year after adjusting for one large award in the prior year. And if you look at the geographic dispersion in the regions, the fourth quarter commercial bookings showed strong year-over-year improvement in 6 of the 7 regions and a sequential improvement in 5 of the 7 regions. And as we've talked about before on these calls, CSC is participating in the broader industry trend towards a greater number of smaller transactions. So commercial bookings on contracts of $100 million or less increased 23% year-over-year, and bookings under $50 million increased 41% year-over-year. And as we've said before, momentum in these smaller contracts is important because they typically have shorter sales cycles, higher margins, as well as positioning CSC for larger opportunities down the road. Our investment that we made in fiscal '14 in sales is resulting in higher win rates on smaller deal sizes. For example, for deals that represent new work with TCV between $5 million and $100 million, our win rates in the quarter have now increased into the mid-30% range. And even though we're doing better on these smaller transactions, we still did have some larger deals. So in the quarter, we had 6 awards that were greater than $100 million. However, as I've said before, we're being very cautious and disciplined on these larger bids that show a great deal of commoditization and margin compression. So as we've previously said, we continue to rearchitect our sales model and update our pricing models to better reflect our new cost structure, and this is beginning to show through. And if you look out here into fiscal '15, our qualified pipelines for commercial cloud, for big data for applications, as well as GBS and GIS are up meaningfully year-over-year, reflecting, again, our investments in sales coverage over the last year. A couple of points here on the partnerships, which we continue to drive. We continue to see early signs of a shift for demand for next-generation IT services. Customers are continuing to demand greater operational agility from their IT assets and services, and they're looking to leverage cloud technology, which requires modernizing their enterprise applications so that they are accessible to workers any time via any device. And this market shift is creating a significant opportunity for CSC. We're responding with some really important strategic partnerships and differentiated offerings. Through a strategic partnership with HCL, we're building a world-class application modernization delivery network. We've established our governance board, and we have onboarded now more than 100 employees, and we've built a qualified pipeline valued at over $500 million. And we're offering our customers a choice of cloud environments: Amazon Web Services, our own CSC BizCloud, Microsoft Azure and BMC Cloud. We'll integrate the workloads in multiple clouds with our acquisition from ServiceMesh and further demonstrate that a multi-vendor hybrid, both public and private cloud solutions, are really CSC's unique differentiation in the marketplace. And our pipeline for commercial cloud is up to $1.3 billion, which is up over 104% year-over-year. And we expect these partnerships and next-generation services to be key enablers of CSC's top line growth for fiscal '15, although we do expect the contributions to be more pronounced in the second half of the year as we operationalize these partnerships. Now let me turn to our NPS business for a moment. NPS revenue was $1 billion in the fourth quarter. This is a decline of 11% over a year -- year-over-year, but we did see for the first time a 1% increase in revenues sequentially, which was largely in line with our expectations. NPS margins of 10.7 were down 20 basis points year-over-year, moderating from the higher levels we reported earlier in the year, but still ahead of most of our peers in the industry. And NPS, as I've said before, has done a good job of getting out ahead of the cost curve despite a competitive and uncertain environment and is now shifting its focus to new business opportunities. And the NPS bookings were $1 billion in the quarter for a book-to-bill that improved to 1.0 from 0.7 in the year ago period and 0.6 in the third quarter. So we're seeing a growing number of opportunities to sell our next generations to the federal clients, and we've built a qualified pipeline of over $2.3 billion for these next-generation offerings, which is up 78% from this time a year ago. And while we're seeing an increase in new opportunities, we do remain cautious about the near-term outlook. However, we do believe that our cost takeout actions have positioned CSC well if we do not see meaningful improvement in the demand environment in fiscal '15. Now as I conclude here, a couple of comments on fiscal 2015. We are targeting for modest commercial revenue growth in fiscal '15, and this is based on our improved bookings over the past few quarters, the return from investments that we've made in sales and next-generation offerings and the expected contributions from our strategic partnerships with HCL and others, as we operationalize these partnerships. We're targeting NPS revenue to be down in the mid-single digits for the year. While we're cautious in the near-term, given continued uncertainty in the federal market, we remain optimistic looking into the second half of the year, based on: one, our differentiated next-generation offerings; and two, optimism for an improving procurement environment, including the fact that several sizable procurements that have been delayed now for some time look as if they will come to the market during this next fiscal year. So our target for total CSC revenue is flat to slightly up for fiscal '15. We do expect a slower half, fiscal '15, with better momentum in the second half, given several factors. One, the continued near-term sluggishness I just alluded to in the NPS market. We are continuing to clean up some contract restructurings and shift workloads to our lower-cost delivery centers, and this requires an investment as we move this workload. We're going to continue to invest in next-generation offerings, and as I said, it's taking some time, normal time, but time to operationalize these strategic partnerships. Now we expect that our cost takeout in fiscal '15 will focus primarily on continuing to streamline our G&A structure and rebalancing, as I just said, our work force. We expect to leverage our low-cost centers both onshore and offshore. For example, in the United States, we're building up capabilities in Pittsburgh and Louisiana, 2 of our new low-cost domestic delivery centers. Now these centers will benefit both the commercial and the federal businesses. It will take some time for our investments and knowledge transfer to occur, so we are expecting more benefit to occur in the second half of the year as a result of these workload moves to these centers. We expect to continue to reinvest in restructuring, next-generation offerings, and continue the rollout of our HR and financial systems, as well as our committed customer savings. So we're targeting the next -- the net pretax benefit of our cost takeout and reinvestment to be in the range of $100 million, which is reflected in our target range for EPS for 2015. As I said, the target range from continuing operations is $4.35 to $4.55, and we're targeting free cash flow of about $700 million. Now we do expect to continue to return more capital to shareholders in the form of dividends and share buybacks. As I said, in '14 we returned about 623 million to shareholders or just a little over 100% of income from continuing operations. And today, we announced that our Board of Directors has approved a new share repurchase authorization of $1.5 billion and increased the quarterly dividend 15% to $0.23. So what I'd like to do now is turn this over to Paul, and then we'll open it up for any questions that you might have. Paul?
Paul N. Saleh: Thank you, Mike, and good evening, everyone. I'll discuss our results for the quarter and the year, and I'll review our targets for fiscal 2015. Revenue was $3.33 billion in the quarter as compared with $3.5 billion in the prior year. When you adjust for $14 million from our divested IT staffing business, our revenues decreased by 4.7%, primarily in constant currency, and that was due to a decline in our federal business, as well as the impact of repositioning our commercial consulting business. When you look at the sequential basis, total revenue increased by 3%, led by growth in our commercial business, and that was particularly the case for our Global Business Services. Operating income in the quarter was $338 million and operating margin was 10.2%, excluding the benefit of $21 million in contingent consideration from the ServiceMesh acquisition. On the same basis, earnings before interest and taxes were $271 million, and EBIT margin was 8.1%, which represents strong improvement year-over-year. Income from continuing operations was $165 million in the quarter and EPS from continuing operations was $1.09. Now this compares with income from continuing operations of $247 million in the year ago quarter and an EPS of $1.56 last year. Now last year's results included a number of special items such as $162 million tax benefit and a gain on a divested business. Now there's a schedule of these items that can be found on Slide 21 of our presentation. It is also contained in today's earnings release. Bookings in the quarter were $4.3 billion, up 43% from the prior year, with good momentum in both our commercial and federal business. Our book-to-bill was 1.3x in the quarter and an improvement from 0.9x in the prior year. For the full year, revenue was $13 billion, down 6.8% in constant currency. Our operating income was $1.3 billion. Our operating margin was 10%, and we saw strong improvement then on a year-over-year basis. Excluding the ServiceMesh contingent consideration, EPS from continuing operations was $3.91 for the quarter, which is above the high end of our range of $3.80 to $3.90. Now let's look at the segment results. Global Business Services accounted for 35% of our total revenues in the quarter. GBS revenue was $1.18 billion in the quarter, up 6% sequentially. Excluding $14 million from the divested IT staffing business in the prior year, GBS revenue was down 3% year-over-year in constant currency. Now the year-over-year decline is attributed to the actions we're taking to reposition our consulting business for higher-value next-generation technology services, and these actions are having near-term impact on the business, but they will ultimately position us for stronger growth and profitability. Our operating income in GBS was $193 million in the quarter. Operating margin was 16.3%, and that reflects the higher mix of profitable license sales, better productivity in our development centers in India and the benefit of a stronger seasonality in the fourth quarter. Our GBS bookings were $1.5 billion in the quarter for a book-to-bill ratio of 1.3x. And for the full year, GBS revenue was down 6% in constant currency, operating margins improved to 12.4%, and bookings were $6.1 billion. Turning to Global Infrastructure Services, this segment represented about 35% of total revenue in the quarter. GIS revenue was $1.19 billion in the quarter, up slightly year-over-year and up 3% sequentially. Our cloud business was up 108% year-over-year and it was helped by the $17 million of revenue from our ServiceMesh acquisition. Commercial cyber was up 78% year-over-year. Now these gains helped to offset price-downs and the impact of restructured contracts. And in the quarter, operating income for GIS was $59 million. Excluding the contingent consideration, our operating margin was 5%, which compares with 0.8% 1 year ago. Continued progress in our cost takeout initiatives and improvements in the profitability of our focus accounts were offset by the impact of restructured contracts and additional investments we're making in next-generation offerings such as MyWorkStyle and an offering in cloud. Bookings for GIS in the quarter were $1.8 billion for a book-to-bill of 1.5x. And for the full year, GIS revenue was down 2.2% in constant currency. Operating margins improved to 7%, and bookings were 4.1%. -- $4.1 billion. And North American Public Sector business accounted for 30% of total revenue in the quarter. Revenue was $1 billion in the quarter, a decline of 11.3% from the prior year, but those results were in line with our expectations, given the softness in the U.S. federal market. In the quarter, operating income was $107 million. Operating margin was 10.7%. And as we shared with you previously, NPS margins are moderating as we pass along some of our cost savings to customers on cost-plus contracts. NPS bookings were $1 billion for the quarter for a book-to-bill of 1x. And for the full year, NPS revenue was down 12%. Operating margin was 12.2% and bookings were $4.3 billion. Now let's turn to other financial highlights for the quarter. Free cash flow was $288 million for the quarter as we benefited from better working capital management. We saw strong collections in NPS. That followed the government shutdown in our third quarter. Day sales outstanding within our federal business declined to 62 days in the fourth quarter, and that compares with 64 days in the prior year and 74 days at the end of our third quarter. For the full year, free cash flow was $689 million, which was better than our prior target of $600 million, driven by better working capital management. So in the quarter, we continued to return more capital to shareholders. We repurchased 2.5 million shares for approximately $151 million at an average price of $60.63 per share. And we also paid $29 million in dividends. For the full year, we repurchased 9.8 million shares for approximately $505 million at an average price of $51.65 per share, and we paid $118 million in dividends. So in total, we returned $623 million to our shareholders or approximately 103% of our income from continuing operations. We continue to opportunistically smooth out our debt maturities in the quarter. We exchanged $21 million of 6.5% notes due in 2018, and we did that for $25 million of our 4.45% notes due in 2022. And for the full year, we exchanged $82 million of the 6.5% notes due in 2018 for $97 million of notes due in 2022. Cash on hand was $2.4 billion at the end of the quarter, an increase of $389 million from the prior year. And the company net-debt-to-capital ratio was 7%. During the quarter, S&P upgraded CSC's credit rating to BBB+ and Fitch improved our rating outlook to stable. Now let me turn to our cost takeout activities. We delivered approximately $155 million of cost savings in the quarter. And for the full year, we delivered approximately $570 million of cost savings, above our target range of $500 million to $550 million. We extracted greater savings from supply chain activities by rationalizing vendors, negotiating better contract terms and improving our demand management. We're scaling our operations and have reduced our real estate footprint by over 2 million square feet. We also have rationalized internal IT projects and streamlined corporate functions, which are also helping. And we've optimized our workforce and have reduced the number of layers by over 40% in the past 2 years. Reinvestments were approximately $120 million for the quarter and $315 million for the year, in line with our target range of $300 million to $325 million. We continued to invest in targeted sales initiatives, internal financial and HR systems and new offerings. We also delivered on our committed savings to our customers, and we invested $43 million in restructuring for the quarter and $76 million for the full year. So for fiscal '15, we're targeting a cost takeout benefit of $450 million to $500 million. Now we plan to focus on driving greater efficiencies in our G&A functions of finance, HR, legal and IT. We expect to leverage our low-cost delivery centers, both onshore and offshore, as we consolidate our data centers and realize productivity gains from our investment in automation. We will also continue to drive for better contract management performance in our focus accounts, and we will also continue to benefit from supply chain management and real estate optimization. In fiscal '15, we're targeting investment of $350 million to $400 million and our investment priorities remain in HR, financial systems, customer-committed savings and restructuring in support of our workforce rebalancing and real estate optimization initiatives. And we're also targeting additional investments to accelerate new offerings in such areas as cloud and apps modernization. So in summary, we delivered another solid year of improved profitability and free cash flow, and we're beginning to see early signs of a pickup in business activity in our commercial business. We're targeting modest commercial revenue growth in fiscal '15 and a mid-single-digit decline in NPS. Our total revenue targets for CSC is flat to slightly up for the full year. We're targeting EPS from continuing operations of $4.35 to $4.55, up double-digit growth year-over-year. And we expect EPS to accelerate in the second half of the year as the first half of the year will reflect greater year-over-year investments in next-generation offerings, the near-term impact of restructured contracts and upfront cost, as we move workload to lower-cost delivery centers. Our tax rate for the year is expected to be about 32%, although we are cautiously optimistic that we may begin to see the benefit of our tax planning strategies during the year. Our free cash flow target for fiscal '15 is approximately $700 million. And as Mike mentioned, we expect to continue to return capital to shareholders in the form of share repurchases and dividends. Our Board of Directors today approved a 15% increase to our quarterly dividend and authorized us a new $1.5 billion share buyback program. And with that, I'll turn the call back to the operator for your questions and answers.
John Michael Lawrie: Go ahead, operator.
Operator: [Operator Instructions] We'll go first to Tien-tsin Huang from JP Morgan.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: I'm curious, just given the strength in the bookings, I'm curious if the pace of bookings conversion into revenue should be faster in '14 versus '13, given your comments around the smaller transactions. I heard the comment around second half, et cetera, but just trying to understand it conceptually.
John Michael Lawrie: Yes, you're right. Some of the smaller transactions will convert into revenue more quickly, although we still have bookings in some areas that do take longer to convert into revenue. And the other factor here, particularly in the GIS business, is a significant percentage of those bookings were recompetes. And often, in those recompete contracts, we wind up actually with slightly less revenue. So that acts as a counter to the increased number of smaller transactions in the GBS business. So that's a little deeper commentary on how that plays out throughout the year. But we're expecting continued improvement in these smaller transactions. We're investing in there. And we're putting more people, more salespeople on that because we -- quite candidly, it's less competitive. We often don't have to go through big procurements, and we're really seeing a lot of commoditization, particularly on these very large deals. So we're pivoting to those smaller transactions.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: That makes sense. That makes sense. Just 2 quick follow-ups. First, did you give a bookings outlook for the year, a book-to-bill range for the year? And then also on the buyback, obviously, a pretty big number, $1.5 billion, 2 years of free cash flow, it looks like. How quickly could you spend that?
John Michael Lawrie: Yes, one, we haven't provided any target for book-to-bill, but obviously, as I've said many times, we need to have a book-to-bill of over 1 to be replenishing our business. In terms of the buyback, as we always have, we put a program in place every quarter, and that program gets executed at different levels depending on the price of the stock. So we plan to execute that over the next several years. So really no change there other than we will probably begin to increase that on a quarterly basis, the number of shares. And it turns out that it has been really a fantastic investment for us over the last 2 years since Paul shared with you the average purchase price that we've been able to get the stock back at.
Operator: We'll go to the next question from Keith Bachman with Bank of Montréal.
Keith F. Bachman - BMO Capital Markets U.S.: I wanted to first ask Mike on sustainability. And what I mean by that is the margins on GBS at 18 were substantially higher than we were thinking. What's a sustainable number? And on the other side, GIS, while it was good bookings, the margins were actually down on a year-over-year basis and a little lower than we were thinking. If you could just give a little color on how we should be thinking about that. And I have a follow-up.
John Michael Lawrie: Yes, I think the GBS margins will be somewhere in the range we've talked about before, which is sort of mid-double digits. So I think we got a little benefit in the fourth quarter. In terms of GIS, the margins did decline in the fourth quarter, but that was primarily the result of some of the investments that we were making. The key point here is, although we've taken a lot of cost out of this business and we've improved the margins. I mean, I didn't know whether I was going to see a 10% operating margin in this company, and we delivered that last year. But the key point is we're not just taking cost out here. We are reinvesting a lot of money in this business, hundreds of millions of dollars we're plowing back into our people in terms of skills, skill development, training, hiring new salespeople, which we need because we're chasing a higher number of smaller transactions. We're continuing to move to lower-cost delivery centers. Everybody in this call knows that we were well behind in moving to lower-cost centers. There's a cost associated with that, because you often have dual jobs or dual people as you begin that skills transfer. We've made a big investment now in Louisiana and a big investment in Pittsburgh that is going to become 2 of our key domestic U.S. delivery centers, and we're investing in new offerings. These partnerships are delivering great new offerings that we're developing and beginning to move into the marketplace. And we're continuing to restructure the business. So that gives you a little color on what we think the normalized margins are for GBS and why we see some decline in the margins in the quarter on GIS.
Keith F. Bachman - BMO Capital Markets U.S.: But Mike, can GIS, you think, go to the 9% to 10% range for FY '15? Or is that perhaps a bit ambitious as you're investing?
John Michael Lawrie: I'd say that's a bit ambitious, but I mean, that ought to be the goal for that business. There's no reason why that business shouldn't be at those levels. So we do have to invest, though, to get this workload to new places. And I think, what I'm going to be looking at is where we get to the second half of next year and where we exit the year in terms of margins. This is a key point. We are not just taking cost out of this company. We're investing, we're really comfortable with the traction on some of these new offerings, in these new partnerships. So we're not only improving the in-year and in-quarter performance, but we're also trying to set the business up for sustainability as we go forward.
Keith F. Bachman - BMO Capital Markets U.S.: Okay. Then my follow-up is, you talked about last quarter that commercial would actually -- I know you only missed by a very small amount. But it seems like you're pushing more towards the second half of the year for the commercial to grow. Is that variance, as you identified previously, the consulting side? Or is there something else there? And that's it for me.
John Michael Lawrie: Yes. That was -- one, we did miss it by about $30 million. That was largely due to consulting, and we are taking a major shift in consulting to technology consulting that drives our other offering. We were doing a lot of consulting for consulting's sake, but we're beginning to move consulting -- think of it as a sort of the tip of the spear here, tip of the arrow. It drives our downstream offerings, like cyber, like cloud, like apps modernization. So that was the cause -- I am cautious, a little more cautious in the first half of the year. I've got -- when we started out here, we had about 50 contracts that were really in trouble. We're down to 4 or 5. I want to get those cleaned up in the first half of our new fiscal year. So we are going to clean those up. I'm glad to report that of all the new major contract starts we've had here in the last 8 or 9 months, we had virtually no problems in the startups in these contracts. This was a gigantic problem that we had in this company years ago, and that's largely behind us. It's been helped by the fact that we're doing smaller contracts that have less onerous transition terms and conditions and transition milestones associated with them. But I just want to get these last 4 or 5 things really cleaned up. So those are the reasons for the more cautious outlook for the first half of the year.
Operator: We'll take the next question from Moshe Katri with Cowen.
Moshe Katri - Cowen and Company, LLC, Research Division: You actually used 2 terms on the call that I think you've used a bit more often that you haven't used as often in the past: leveraging on-site offshore centers and moving workloads to low-cost locations. I think it will be helpful if you give us some color on where you are in this process. As I understand, it's just starting. Maybe you can talk about some of the centers that you're opening, talk a bit about what you're doing with your development capabilities or delivery capabilities out of India, that's the -- I'm assuming a lot of that headcount came from the legacy Kanbay acquisition. What do you have to do to actually make that global delivery network work more effectively? And obviously, that brings down your cost structure and makes you more -- makes you -- I mean, that makes CSC more competitive.
John Michael Lawrie: Yes, that's a very good question. So listen, when we started out here 2 years ago with this turnaround, we were at about 15% or so offshore. We are targeting by the end of fiscal '15 to be in the mid-40s. So that is a significant move, and I'll give you an example here. Take Zurich Financial, one of our very large customers. We sat down with them, and we were about 25% offshore. As we exited this fourth quarter, we were about 70% offshore. And what we saw was we saw an improvement in customer satisfaction. We saw -- as a matter of fact, they just awarded us another large contract in the fourth quarter. And we also saw a significant improvement in our margins. But what we are doing is we're taking that basic model and we are now applying that to 45 to 50 accounts worldwide. And part of this is responding to our clients. Our clients are asking us to do more to improve their savings. These guys are under a lot of cost pressures themselves, and we are returning some of those savings to them, and we are returning, obviously, some of those savings to our bottom line. So we've piloted this now. We've got a methodology in place for this, and we're now going to take the next step, which is applying this to a larger subset of our customers. And as we move, we're automating workloads, we're making a big investment in tooling, as we still do a lot of the monitoring work and other things manually, so this is all part of the investment that we are making. Does that answer your question?
Moshe Katri - Cowen and Company, LLC, Research Division: Yes. Do you have a very specific target in terms of headcount additions in your global delivery model, global delivery centers from now, I mean, throughout fiscal year 2015 that we should look for?
John Michael Lawrie: Well, it's a rebalancing. So you've got to think of this as we are reducing work in certain on-site centers and we're moving that to lower-cost centers. So the headcount is not the principal savings here; it's the overall labor costs and efficiencies we get from the tooling and automation in these centers. So that's the big difference. But the overall percentage, if anything, it'll probably reduce marginally the headcount, but it does reduce the cost associated with that headcount significantly.
Moshe Katri - Cowen and Company, LLC, Research Division: And is there a way to quantify that reduction in terms of delta?
John Michael Lawrie: I don't have those numbers off the top of my head, other than to say that we're moving from a roughly, let's say, 20% offshore to 40% to 45% offshore, which is a doubling over 2 years, which is pretty significant.
Moshe Katri - Cowen and Company, LLC, Research Division: All right. The last question for me, you've had a pretty nice uptick in commercial bookings. Can you -- I mean, since you came on board, and obviously, you've been here for a couple of years, what are clients telling you in terms of why are you winning these deals today versus some of these deals that probably you wouldn't have won a couple years ago? What's changed at CSC? What are clients kind of noticing? And what do you think you need to improve to actually -- even improve those win rates down the road?
John Michael Lawrie: That's a great question also. I'd say it's transparency. We've become a much more transparent company. What I mean, transparent, it's not only what we're doing internally and how we're communicating, but we've become very transparent with our partners. Our partners are a significant, significant part of our differentiation and our value-add to our clients. They're seeing that. We are building offerings with our partners. We're taking those offerings to market, and those offerings are not only innovative in the eyes of our clients, but they're also tangible value-add that they're adding to their businesses. And then finally, I don't mean this to be flippant, but we're showing up. We're showing up. So we've made a big investment in people in getting coverage out there and giving our clients choice. So we're not locking them into any one technology. We're giving them choice. That's why all these hybrid cloud announcements that you see us making with VMware and Microsoft and AWS and others, this allows us not only the innovation, but it gives our customers the ability not to get locked in to a given platform or a given technology. And then finally, we're focused on smaller deals. So those smaller deals are giving us greater access to the market but also allowing us to deliver quickly, and that tends to build confidence in the client and then they give us opportunities for more business.
Operator: We'll move to the next question. It comes from Bryan Keane with Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: Just a couple of clarifications. Paul, maybe you can help me with fiscal year '15, I guess. GBS, mid-double digits, I think Mike said. But I assume that means in mid-teens margins. And then just what's the outlook for the other divisions as well as GIS and NPS?
Paul N. Saleh: Yes, I think we've talked about somewhere in the 14% to 15% margins for GBS. In our Global Infrastructure business, as Mike said, it's going to be starting a little bit slow. And then the exit that Mike was mentioning, looking at the end of the year, it's probably more in the high-single digits of plus [ph]. And then in the NPS, we've just also said that we're going to be in the 9%, 10%, I think more 10% I think would be our goal.
John Michael Lawrie: And I just -- I mean, this is really an opportunity. As you guys all know on the call here, we were able to reduce our cost structure. But now, we've got another leg of the story, which is around moving workload to these lower-cost, more automated centers. So there's a whole other leg here that we're embarking on this year that we're really encouraged about.
Bryan Keane - Deutsche Bank AG, Research Division: So what does that make for total EBIT expansion? I know we're at 7.8%. So just backing into the guidance, I'm just trying to figure out how much is margin expansion versus share buyback. And then maybe you can also give us the restructuring number, Paul?
Paul N. Saleh: Yes, I think as we have said, revenue for the whole company would be flat to slightly up, so you have to assume again, given what we have shared with you in terms of our targets of the EPS, that we're going to see some operating leverage or an improvement year-over-year in our overall margins at the EBIT level.
Bryan Keane - Deutsche Bank AG, Research Division: And is there -- is buybacks in the EPS guidance? Or is that not in? And then if you could just give us the restructuring we should expect maybe on an annual quarterly basis.
John Michael Lawrie: Well, I would let Paul talk a little bit about the EPS and the stock buyback and that. But from the restructuring standpoint, I consider somewhere in the neighborhood of $30 million to $40 million on a quarterly basis would be about right. We continue to model it that way. Could be a little less, could be a little more, but roughly in that range. And the question, Paul, was the stock buyback and the EPS projection.
Paul N. Saleh: Yes, I think in the EPS again, you were talking about, I would take you back to the EBIT margins. I think we were close to about 8% in the fourth quarter. For the full year, we're about 7.8%. So our objective would be to see at least an improvement in the 52 basis points or 100 basis points for the full year.
Bryan Keane - Deutsche Bank AG, Research Division: And buyback, it is or isn't in the EPS?
Paul N. Saleh: I think the buyback would be a net reduction on a year-over-year basis, but not a significant reduction, because there's some issuances also.
John Michael Lawrie: We'll be issuing stock, we always do this time of the year to the employees, so we backed that in plus the buyback.
Paul N. Saleh: And then you get some -- when you look at it - we look at it on a fully diluted basis. And as the stock price goes up, the option themselves become -- also factor into the EPS from continuing operations.
Bryan Keane - Deutsche Bank AG, Research Division: All right. Last 2 questions for me. Free cash flow, $689 million. We're only guiding to $700 million. I guess I would have expected that to grow more in line with EPS. Maybe give some clarity there. And then secondly, Mike, high level, what kind of impact is the cloud having on cannibalizing your older traditional legacy services revenue. Although you're definitely growing quickly in all the numbers you gave us on the next-generation stuff, especially in the cloud. What is it having as an impact on the traditional revenues?
John Michael Lawrie: Yes, that's a good question. I'll answer that, while Paul figures out the free cash flow.
Paul N. Saleh: Let me get that out of the way very quickly. Our objective is just to be about $700 million. And again, hopefully, we'll do better. But to start with, cash taxes are going to be higher on a year-over-year basis. This year, we benefited from lower cash taxes, a lot of it having to do with the tax planning that we did last year in 2013. The other element of it is we will have higher cash associated with the restructuring that we have taken in the last 2 years.
John Michael Lawrie: Now in terms of cannibalization, yes, there is cannibalization. So when you put cloud in over time, that is a lower upfront value. Although over a longer period of time, the cloud revenue stream can be as great and often more profitable than the existing contract. In our case, a lot of our cloud sales are not only going into existing clients but they're going into new clients. It's one of the offerings that's helping us attract new clients. In that case, we don't suffer any cannibalization, because they're net new customers to us. So we're using cloud as a way of helping clients modernize and move to this next-generation IT infrastructure. They typically do not make that move all at once. They pilot certain areas or certain applications, so in that sense, it's not highly cannibalized. And when we get cloud in there, what we're finding is that it drags along other offerings, like application modernization, cyber, in some cases, big data. But the real point of cloud and some of these new innovative offerings with our partners, is it's allowing us to get into new clients that heretofore we've not been in.
Operator: We'll take the next question from David Grossman with Stifel.
David M. Grossman - Stifel, Nicolaus & Company, Incorporated, Research Division: Mike, if you go back to when you first took the job, I think one of the observations that you made was how few large clients at CSC were buying multiple services. So now you've been there a couple of years and we've made some substantial investments in the sales force, can you give us a better feel for how the revenue per client is trending? Obviously, after you back out any noise associated with exiting underperforming contracts, et cetera?
John Michael Lawrie: Yes, we are definitely seeing an improvement in cross-sell. There is much, much more to do. When I got here a couple years ago, our cross-sell was probably less than 5%, less than 5%. And the root cause of that, as I commented before, is that we really didn't have salespeople on our accounts per se. We had people that were managing contracts or managing delivery, and they were incented to deliver those contracts. As we look out, as we exit this year, the cross-sell is more in the 10% to 15% range, still very low. There's no confusion about that. But we are beginning to see that uptick, and this is a result of some of the investments we've made in our coverage schemes, things like our account general managers that we now have on most of our large accounts. We've changed compensation plans that now incent those people for cross-sell. And then also our clients are beginning to look at us differently than they looked at us before. So as we become more proactive with them, as we bring these new offerings to them, they're beginning to look at us in a different light than they did 2 years ago. But still, much, much work ahead of us, but encouraging in terms of the trend line.
David M. Grossman - Stifel, Nicolaus & Company, Incorporated, Research Division: So getting back to a couple of questions that have been already asked about the bookings conversions, et cetera, and when you start seeing the bookings being a better predictor of future growth. When does all these positive things, the new services, the higher cross-sell and, in fact, pretty good bookings, particularly in GBS, when do those things supersede some of the runoff that you have in the base? Do you have any better visibility when that should happen?
John Michael Lawrie: Yes, I really don't have any great visibility to that. What we're seeing here is as the revenue -- as the revenue begins to increase in a lot of these new offering areas, like cloud, like cyber, they will begin to offset the restructuring and the price takedowns, if you will, in the contracts. And most of these price takedowns occur in the early part of our fiscal year. That's just typically the way the contracts are set up. So I wouldn't say there's a great deal of better visibility, but as the numbers on these new offerings get bigger, it does begin to offset those headwinds associated with the restructuring. But until I get greater visibility, it becomes -- I'm reluctant to put a stake in the ground and say, it's going to happen in the second quarter, it's going to happen in the third quarter. All I can tell you is that the trend lines are there, and we're encouraged by those trend lines, and these bookings, which are improving, are beginning to convert to revenue. We're seeing revenue growth. We're seeing revenue growth in cloud, still a relatively small number. Revenue growth in cyber -- I mean, cyber is going to be a $600 million business for us in fiscal '15. That's up from about $300 million. So that's doubled in the last couple of years.
Operator: We'll go to the final question. It comes from Ashwin Shirvaikar with Citi.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Mike, I have to say I appreciate your honesty with regards to your comments on cloud and cannibalization and so on.
John Michael Lawrie: Yes, we get a lot of the people saying it doesn't cannibalize, but I mean, come on. We're all smart enough to realize if you're trading $1 for $0.20, that's known as cannibalization.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Right. But the question I have is, we had the announcement from HP the other day, $1 billion in open-source cloud computing. IBM is investing seriously. You look at Google, one of your partners, Amazon, literally billions of dollars. But the question is the relative scale of what you're investing, is that enough? Or are you better off making a larger investment and maybe a smaller buyback? Any thoughts on that? And I know part of this is smart investing and not just bulk investing, but I'd appreciate it.
John Michael Lawrie: Well, I'm a big believer that you go where the return is, and we've had a tremendous return on buying back our own stock. Although one of the key messages here today is that we are investing, and I can't tell you how much leverage we're getting from our partners. I mean, the work we're doing with AT&T and how we're building the network and how we're linking that network to ServiceMesh and how we're linking that to our next-generation delivery centers, we are getting tremendous leverage -- EMC, Hitachi in the storage arena, and I could go on and on and on, SAP and Amazon. So we're getting great leverage from those technologies. Take Amazon Web Services, fantastic job that company has done, fantastic. Now we're integrating ServiceMesh into AWS, but we're leveraging the tremendous investment that AWS has made in their next-generation infrastructure. So these are all ways that we are leveraging, which allows us to target our investments in specific areas and specific offerings that we think will drive greater value over time. But I want to emphasize that this is not just taking cost out of this place. We are investing a lot of money in the company so that we can position ourselves for future growth. And you're right. If we would see that cloud really begins to take off, it might be a better investment to do more work with the OpenStack cloud environment or other investments, and we'll be certainly willing to do that. So hopefully...
Ashwin Shirvaikar - Citigroup Inc, Research Division: Okay. And last one is a clarification I have on the use of lower-cost resources as you go from below 20% to the low mid-40s. Is that just CSC or does that include the impact of your HCL partnership? And is this also sort of another source of revenue cannibalization, to some extent?
John Michael Lawrie: Yes, well, no, it does not include the HCL partnership. So I'm just talking about like-for-like in our business, so taking workload from point A to point B. The HCL partnership is incremental new headcount that we are adding around apps modernization, and there's virtually no cannibalization in that, because the truth is CSC didn't really have an apps modernization practice. What we had was an apps outsourcing or apps maintenance or apps managed ops business, which is fundamentally different than apps modernization, and we see this as a huge market. We see this as really gaining momentum as we go forward. Anything else before we conclude here? Again, thank you, everyone, for your interest and questions in the company, and I look forward to continuing to march forward here with the transformation of CSC. Thank you.
Operator: That does conclude today's presentation. Thank you for your participation.